Stephane Pallez: So good morning, everyone. Welcome to our annual results presentation for 2025 and outlook for FDJ United Group. So before handing to Pascal to detail the financial results, as we always do it together, I will start by commenting on the key events of 2025, first year of Kindred's integration into our results. And I will then, of course, come back to present our outlook, and we'll conclude with Q&A. So just to say where we are today and what we are. So we are FDJ United, a group with a unique profile with solid assets and a strong business model, and this illustrates this statement. So in 2025, the group generated a gross gaming revenue of EUR 8.7 million, a revenue of EUR 3.7 million and current EBITDA of EUR 902 million, representing a margin of 24.5%. FDJ United has developed over the year, a unique profile based on solid assets and a robust business model. And this is what I want to illustrate briefly through those numbers. We detain assets in all gaming activities and distribution channels. We are present in most European markets and of course, very strong in France, where we generate more than 3/4 of our revenue. We combine point-of-sale activities with digital activities, and we believe in this combination. Our online activity now represents 1/3 of our revenue, and this was part of our strategic goals. And we generate solid financial results, enabling us to finance our investment and to offer a good return to our shareholders as is our promise. So as you know, this was achieved through a deep transformation over the last years. I won't come back to the different steps that we went through. It was, of course it started with the IPO of FDJ United in 2019. And we have now become a true champion of online lottery, betting and gaming in Europe. This result was, of course, primarily achieved through successful organic growth, but it has been complemented with selective mergers and acquisitions since 2022. And in numbers, what this means is that this from 2019 to 2025, our financial profile has, of course, significantly evolved and positively evolved. Our overall performance has changed. The numbers have changed. Revenue has been multiplied by 1.8. Current EBITDA has been multiplied by over 2, 2.1. We gained almost 400 basis points in terms of EBITDA margin coming today at, again, 24.5%. Free cash flow was multiplied by 2.6 and the dividend payment was multiplied by 4.6. So all this, I think, illustrates what we are today, a solid group with, of course, good perspective, and we'll come back to that. So to come back to 2025, I want to start by underlining some key highlights that we have achieved during this year in terms of business transformation and of course, looking out to our 2 main business units. So for the Lottery and Sports betting in France, I think 2 main transformations that were -- one was already started. It's the sales force internalization, which has been completed into 2025. And you know that this is something that has been a high contributor to our margin improvement into the last year and even more to our capacity to drive our business in France over the whole territory with our retail network. We've also started a new phase of development of our retail network, again, which we -- in which we believe strongly with the opening of more than 500 point of sales until -- under banners, particularly with large full retailers like Carrefour/E.Leclerc, in line with the objective that we communicated during our Investor Day last June to increase our client base in France, which we think is still an opportunity today. So good start for this, and thank you to everyone for giving us this good start. But of course, it's not finished. We'll come back to that. For online betting and gaming, I can say that the integration of Kindred has been completed. Kindred is completely today part of our group. It's been now -- it's now part of OBG online business and -- online betting and gaming BU. We have definitely now, again, a complete online business in France and in Europe of our gaming activities that are open to competition. This BU, of course, is undergoing a strong transformation over the next -- which will go on over the next years. It is, of course, a technology transformation, and we'll come back to that. It's also a transformation that implies to completely separate our competitive activities from our exclusive rights activities as we committed to the antitrust authorities. We have achieved that in France. We have achieved that in France with the separation of our player accounts between online lottery and online sports betting followed by the merger of Parions Sport en Ligne, and ZEturf accounts at the end of June, and this was an important step, which prepares what will happen this year and particularly in March with -- on our brands in this activity. In the United Kingdom, we deployed 32Red and Unibet brands on our proprietary platforms. This road map is, of course, not achieved today. We will come back later on our vision of this transformation for this year and next years. With the decisive contribution of AI, this BU continued also to transform and implement its operational performance at the highest level. Two things worth mentioning. First, the ramp-up of automated marketing campaigns with more than 70% of direct marketing campaigns automated in most of our markets and the optimization of our customer service operation, enabling us to manage an increase of nearly 20% in interaction with reducing costs at the same time by more than 10% in 2025. So very significant transformation, which is again not finished, but which has started nicely. So when I look more globally at 2025, of course, it is fair to recognize that in '25, our performance, our results were significantly impacted by major adverse factors. This is not a surprise. We described those over the year. Some came at the latest part of the year. And of course, we incorporate all those in our results and in our vision for 2026. First and foremost, in those factors, tax increase in France, in Netherlands and Romania. And over the total financial year, their impact on revenue and EBITDA amounted to more than EUR 50 million. So very, very significant impact. At the same time, in the Netherlands, in particular, regulatory decisions that I can only describe as ill considered were implemented in a short time frame with a very negative impact on the legal market, on all the operators, of course, including us. The market for operators in Netherlands has been shrinking by around 25%, at least in favor of offshore online betting and gaming operators, resulting in a loss of tax revenue for the country and in the last, of course, of control on players who visit sites without any protection and guarantees. And this is clearly not good news for the sector, but it shows how regulation can definitely, if it's, I would say, ill implemented, go in the wrong direction. However, we had to adapt to these developments, and we acted and very quickly put in place a broad-based performance plan to improve our operational efficiency all over the group. This plan is off to a very good start as the 2025 target that we communicated at the beginning of the year has now significantly exceeded, reaching approximately EUR 50 million compared to EUR 20 million that we announced at the beginning. We, therefore, raised in our forecast for the future, our target. First, our target for this -- for the impact of this plan from EUR 120 million to EUR 150 million of recurrent cost efficiencies that will improve -- will continue to improve our margin over time till the end of 2028. Therefore, in this particularly challenging regulatory and fiscal environment, FDJ United has managed to preserve its fundamentals and to meet our financial commitments as we formulated them at Q3 results particularly. We reached an EBITDA margin of over 24% -- 24.5% exactly. We generated a record operating cash flow generation of nearly EUR 300 million. And therefore, we are in a position to propose in the continuity of our guidance on dividend, which is a payout ratio of 20% -- of 80% of our adjusted net income. We are in a position to propose to the next general assembly in April a raise of our dividend to EUR 2.10 per share. So this, of course, shows our solidness, our strong performance, the solidity of our model and the trust that we have in the future. So to look a little more at our performance in our 2 main BUs that, of course, are the cash generator of the group. I want to look a little more at LSF than OBG. So for LSF, I've just mentioned the 2 key achievements in terms of business transformation. And again, those achievements are very structural in the way we have managed and will continue to manage this business. In financial terms, the BU gross gaming revenue and revenue increased by 3% to EUR 6.9 billion and to 1% in terms of revenue to EUR 2.5 billion. This, of course, is including the impact of the tax increase in France that has been implemented from July 1 and which amounted to more than EUR 28 million. So when you look at our underlying growth for the lottery, you see that GGR grew by 3%, identical for both draw games and instant games and revenue grew by 2% to, again, a little more than EUR 2 billion. In terms of games, we had, again, good trends in our main games. Instant game businesses benefited from the success of promotions and relaunch in our portfolio, such as the launch of Royaume d'Or of 600,000 carats and the strong performance of the exclusive online offering, including the record launch of some games as Bubblecaster game in Q4. So good results in Instant game business. And the draw games business was also positive, driven by long Euromillions cycles with more than 50 draws offering jackpots of over EUR 75 million, including 6 with EUR 250 million. So strong activity and strong business in our draw games and particularly for Euromillions but we also had good momentum on Crescendo and the new Keno formula that we launched last November. For online lottery revenue, we grew by 8% and this online business in the lottery represent now more than 15% of our lottery activity, an increase of nearly 100 basis points compared to 2024. I think it's worth noting that this strong performance is attributable to growth in the number of players that now exceed 6 million at the end of December 2025, thanks to record recruitment. Of course, we need to continue to work both on recruitment and increase the value of those players. But again, a very solid trend in this online lottery business which, as you know, has also high impact on our margin improvement over the years. For sports betting revenue in the point of sales, it had a slight decline of 2%, which is attributed to lower stakes, which reflect mainly unfavorable comparison with the Euro 2024 soccer, which has been, as you know, a high success. So these achievements in the -- in our lottery and sports activity under exclusive rights in France has lead us to actually a very strong performance into EBITDA margin. We had a very good implementation of our performance in our lottery in France. And therefore, we were able to generate a current EBITDA of EUR 913 million, up 3%, representing a margin of 36%, an improvement of 60 basis points compared to 2024. So very -- again, very solid fundamentals and very good results for LSF and again, a very strong asset in the group financial assets as of today. OBG is under transformation. We know it. It's not a surprise. It's a transformation that is going to be a journey and we have known it even, of course, if we are impatient to go further and to accelerate. As I said in the beginning, we have completed the Kindred integration. So that's done. We also, during this year, continued to launch major marketing and commercial initiatives, including the launch of 32Red e-casino brand in Romania in July, for instance. And in casino, we launched a new exclusive cross-market chatbot, which was very successful in 7 countries in the second half of the year. So again, good level of marketing initiatives. Also very significant increase in the number of active players up to more than 10% which is, of course, a pillar of our marketing and responsible gaming strategy in OBG. However, it is fair to recognize that level activity was disappointing with GGR declined by 8%, reflecting a particularly unfavorable base of comparison with 2024, of course, marked by the Euro Soccer and of course, the impact of tightening of regulation, particularly in the Netherlands that has started in October 2024, but that has been, I think, over -- again, over restrictive all over this year. So considering the cumulative effect of numerous tax increase on gaming in France, Netherlands, Sweden and Romania, amounting to more than EUR 23 million, revenue was down 12% to EUR 908 million. If, however, you look at what we did without United Kingdom and Netherlands, which were the markets where this negative trend was the most significant, GGR rose by 6% and revenue by 1%, thanks particularly to the performance of OBG in the French market, where we definitely outperformed the market and continue to gain market share. So again, very definitely mixed performance, but I think it's important to underline the strength that we want to continue to develop for the future. So the BU current EBITDA amounted to EUR 181 million, which represents a margin of 20%, of course, down as a consequence of activity decrease in some major markets. At a general level, as you know, we are completely convinced that at FDJ United, financial and nonfinancial performance go together, have to go together if we want to drive a sustainable business. So as everywhere -- as every year, we measure and publish our positive economic and social impact in France at this point. And for the 10th year, we have done this assessment with an external auditor, which illustrates our impact in France. Social and economic contribution of more than EUR 7 billion has been assessed. Of course, a good part of it is through the fiscal revenues that we pay in France, more than EUR 5 billion, including EUR 4.8 billion in public levies on games. We have also contributed to create or preserve more than 57,000 jobs, including more than 20,000 in bar, tobacco, newsstand network. This particularly benefits local businesses in France with a record remuneration of more than EUR 1 billion that has been paid to our 29,000 retailers last year. So high contribution to the French economy and the French territories. To look more broadly at our extra financial highlights, you know that we have further to the establishment of FDJ United, we have also adopted a new purpose to cover our new international scope, which is to embody the future of entertaining and responsible gaming in a model that creates positive impact for society. In that framework, I think 2 main objectives. One, of course, is responsible gaming. Responsible gaming, as you know, is part of our business model. It's not only a conviction, it's a necessity. And therefore, we continue to invest in that, particularly in terms of communication to our players because we know it's a never-ending objective to increase our efficiency with our players. So it is part of our brands to talk about responsible gaming. This is what we've done through Safe Play. It's a campaign with a new identity that will be adopted over time by all the group brands to highlight our, again, definite commitment into this responsible gaming activity. We have also invested in new tools, state-of-the-art tools to control the risk of this activity, particularly in France with a new tool, FDJ Protect, which is -- has been deployed to better control risky gaming practices, of course, specifically to online lottery activities. And we are deploying another tool, which is called Crucial Compliance that has been implemented in United Kingdom and the Netherlands and will be gradually deployed in other European markets for OBG. So again, strong investment to continue this and to accompany the development of our business. We also invest -- we also invest in carbon reduction footprint. For the fourth year, we have been awarded an A+ and A carbon rating by Vérité40 Index. And we have taken positive voluntary commitments into social and environmental contribution to dedicate over the year, 5% of our published net income. And this year, it took the form of a EUR 5 million investment in a fund launched by Ardian to finance projects to restore forests, wetlands and mangrove to sequester a large amount of carbon. So again, also medium-term objective that we fulfill during this year. So I will now hand over to Pascal for a presentation of financial results and come back later to talk to you about 2026.
Pascal Chaffard: Thank you, Stephane, and hello, everybody. This first slide presents our key figures for 2025, some of which Stephane has already touched upon. The 2025 figures are compared with the 2024 reported, meaning published, consolidating Kindred from its acquisition 11th of October 2024 and also 2024 restated up to EBITDA. Restated meaning as if Kindred had been acquired on January 1, 2024, and based on the scope of business retained by FDJ United. The comparison to the reported figures shows the group change of scale and record level of GGR, revenue, EBITDA or free cash flow generation. We will come back on more detail on every KPI presented on this slide. First, the GGR, gross gaming revenue, which is stakes minus player winnings. In other words, the amount spent by the players. This KPI is growing in 2025, even in restated figures. But due to the gaming tax increase based also on the GGR in France, in Netherlands and in Romania, public levies went up by 3% and the net gaming revenue went down by also 3%. The impact of the tax increase that reduces mechanically our revenue and our recurring EBITDA by the same amount. We have grown our activity, but for the benefit of the different states, if I may say. As a result, the average tax on the GGR is now close to 60%. You show the figures of 59.9% on the slide in 2025 versus 58.5% in 2024. The net gaming revenue represented on this slide is a major part of our total revenue. And to get the total revenue, you must add the revenue from other activities, which are the B2B part of international lottery and payment and services. Let's now look at the bridge between revenue and recurring EBITDA for the group. Total costs have decreased by 2%. It's close to EUR 50 million in 2025 compared to an activity, the GGR that was up 1%. This is a result of the performance plan put in place in 2025, and I will come back later on this point. Cost of sales amounted to EUR 1.5 billion, down 1%, including, in particular, more than EUR 1 billion of retailers' remuneration, growing at a pace of 1.4% and the pace is the same at the one of the stakes in point of sales in France and in Ireland. It means that the other cost of sales went down by nearly 5%, reflecting notably the benefits of the sales force reorganization in France. Marketing costs include advertising and also the product design. They amounted to EUR 306 million in 2025 and were down 11% compared to 2024, which was impacted by the Euro football and the Paris 2024 Olympics, but the decrease is also the result of the performance plan. IT services reached EUR 173 million, plus 4%. They cover the costs associated with the outsourcing contractors of the development and IT operations. The increase is the net impact of the performance plan on one side that has decreased the costs and the investments on our proprietary platform, mainly in LSF and OBG on the other side. The personnel expenses were stable at EUR 583 million, although they include EUR 12 million related to the employee share ownership plan that has been put in place in the middle of the year. And to finish with this slide, administrative and general expenses, which are -- which mainly include consulting fees, operating cost of central functions and building costs, et cetera, were down EUR 8 million, minus 5% to EUR 166 million. So as it has been already said, the recurring EBITDA thus stood at EUR 902 million with down 6% compared to 2024 restated in the context of what I've already said, Stephane, of around EUR 50 million gaming tax increase. Let's take a look now at the same bridge from revenue to recurring EBITDA, but on the 2 main BUs. If we start by the French lottery and retail sports betting, the LSF BU revenue amounted to EUR 2.5 billion, up 1%, as Stephane already told you, based on the GGR growing at a higher pace, more than 3% -- the total cost remained barely stable despite a plus 3% GGR that was impacted -- that has impacted the variable cost. And I will come back to that a little bit later, but the variable costs are 70% of the cost base, demonstrating the performance efforts that has been performed to maintain a stable those costs in total. Cost of sales amounted to EUR 1.2 billion, stable despite the increase of retailers' remuneration. This increase is offset by the performance plan, notably, as I said it before, the effect of the sales force internalization. The marketing costs were stable at EUR 114 million despite the impact of the new tax on advertising and promotional expenses from July 1, 2025, for more than EUR 6 million. Other costs, namely IT costs, personnel costs and administrative and general costs increased very slightly by 2% to in total, EUR 322 million. In addition to this excellent execution of the performance plan, the BU has also benefited from a favorable mix effect on margins with the accretive effect of a higher digital penetration. Stephane told you earlier that digital penetration has now reached 15% compared to 14% last year. These factors enabled LSF BU to record current EBITDA of EUR 913 million, up 3%, representing a margin of 36%, an improvement of 60 basis points compared to 2024, which is a very good performance. And the strict cost control measures implemented in 2025 will, of course, continue in 2026 and further on. For online betting and gaming BU, the revenue amounted to EUR 908 million. Cost of sales were down 2% to EUR 261 million. The marketing expenses were down minus 11% to EUR 174 million, were optimized and further adapted to certain regulatory constraints, but also implementing some performance plan measures. The increase in other costs, plus 5% is mainly attributable to the plus 17% that you can see on the IT cost, reflecting the platform migrations and developments that we are performing. OBG has a fixed versus variable cost split of around 2/3 for the fixed and 1/3 for the variable, which creates a significant negative leverage when business slows down. This explains the sharp decline in the current EBITDA margin this year, which stands at 20%, compared to 28.5% in 2024. So our main focus is, therefore, the return to growth in order to activate the leverage effect that will automatically lead to a fast improvement in recurring EBITDA. We will, of course, continue to optimize the cost base in parallel as part of the performance plan also. In 2025 compared to the 2024 reported, revenue increased by 20%, but compared to the restated, it fell by 3% as it has already been explained. As we have just seen, the decline in revenue is directly linked to taxation. I will not come back to this point more. And Stephane has already commented in details on the 2 main BUs, LSF and OBG. So I will tell you a few words about the international lottery and Payment & Services. The international lottery recorded a drop in revenue of EUR 21 million due to the sale of Sporting Group at the end of 2024 and the termination of B2B contracts. Those activities have ceased because they were not profitable. You will see thus a positive impact on the EBITDA. And to finish with international lottery, the Irish lottery, PLI is growing. The activities of Payment & Services are down slightly minus EUR 3 million. It's 4% due to the cessation of high volume but low profitability activities. Let's have the same look at the EBITDA bridge by BU. As I already said on the revenue, Stephane has already commented the margins of LSF and OBG. So I'm going to focus already on this slide on International Lottery and Payment & Services as well as the holding costs. Regarding international lotteries, the recurring EBITDA amounted to EUR 38 million, up EUR 13 million compared to the previous year, thanks to the positive impact of the sale of Sporting Group. I've touched upon when I spoke about the revenue and the increase of profitability of PLI, and this is a very positive point, resulting notably from the group synergies that we have put in place. The margin of this BU in total is now 22.5% compared to 13.1% in 2024. On Payment & Services, recurring EBITDA was down EUR 5 million -- was minus EUR 5 million compared to minus EUR 1 million in 2024. In parallel with the optimization of its business portfolio to focus on profitable services, the BU continues to invest in developing Nirio brand and services. This explains the minus EUR 5 million. Central costs recorded in what we call holding amounted to EUR 226 million, down EUR 13 million compared to 2024. The rationalization of costs as part of the performance plan more than offset the EUR 13 million total costs related to the employee share ownership plan that has occurred in the first half of the year. Okay. This one, I think it's not necessary to comment it in details. So I will just move to this slide very quickly. To give you a few words complementary to what I've already told on OBG on fixed and variable cost split. As you can see on the slide, at the group level, this split is close to 50-50, allowing strong operational leverage. This leverage is even higher in OBG with a level of fixed cost that I already said close to 2/3. This means that when the BU is growing, the profitability is increasing rapidly. But when we face headwinds like in 2025 with a revenue decline faster than the GGR, the EBITDA margin is going down rapidly. We can mitigate this effect, reducing the fixed cost base, but it cannot be enough. Our focus has to be back to growth to benefit again from the powerful operational leverage. In the LSF BU, the split is different at the weight of the retail remuneration is heavy. Nevertheless, on the online lottery, the split is comparable to the one on OBG, allowing a strong operational leverage that is one of the 2025 good performance of LSF explanation. So our focus is obviously growth and optimization of the fixed cost base. Let's talk now about the performance plan. In 2025, we had announced a EUR 20 million positive impact of our performance plan. This was at the beginning of the year when we have faced the increase of the tax in France. And we have done far better because we are announcing here a EUR 50 million recurring cost reductions. And as Stephane told you, we are 1 year ahead in the implementation of the multiyear performance plan. This acceleration allows us to increase the total amount of this performance plan to more than EUR 150 million by the end of 2028 compared to the EUR 120 million that we announced initially in June. More than half attributed to OBG and nearly 40% to LSF. This plan, to be clear, is not just a cost-cutting plan. It's far from being a cost-cutting plan. It is more a transformation of our operating model, of our processes, of our tools to do more with less. And let's take maybe some example to make it very concrete. We have just finalized the internalization of the LSF sales force with substantial savings that I already commented. We continue to streamline the processes, for example, new commercial criteria to the point of sales with also the reduction of the number of agencies. We are transforming OBG's customer operations using automation and AI, which makes it possible to enter more client contacts, better quality and less costs. Also on OBG, but it will be done in a second time in LSF, marketing automation to optimize the creation and TTM of the campaigns, thanks to AI and also the globalization of the advertising purchases at the group level with scale economies. Transformation of IT, including infrastructure cloudification, DevOps, test automation, et cetera, et cetera, and many others. So we are -- with an ongoing transformation that is concerning the whole company. Let's now look at the bridge from EBITDA to the adjusted net result, which is the base of our dividend calculation. The net depreciation and amortization amounted to EUR 336 million, of which EUR 200 million of PPA amortization. The nonrecurring items of EUR 199 million mainly correspond to impairments of intangible assets recognized in PPA, EUR 166 million and restructuring costs, EUR 28 million. The financial result for the 2025 financial year amounted to minus EUR 63 million compared to plus EUR 5 million in the previous year. This change is mainly due to the interest of the debt and the lower level of cash following the acquisition of Kindred. This is completely in line with our expectations. The tax expense amounted to EUR 130 million, including EUR 27 million in additional taxes on large companies, i.e., an effective tax rate of 42.9% compared to EUR 138 million in 2024 and an effective tax rate of 25.8%. And as you know, the exceptional contribution on profit of large companies introduced in France in 2025 will be prolonged in 2026. The net income amounted to EUR 176 million compared to EUR 399 million in 2024 reported. The adjustments of EUR 311 million correspond to the amount net of tax of the depreciation of PPA, EUR 170 million and the net asset impairment already mentioned of EUR 140 million. Those are noncash events. This is why we adjusted to calculate the adjusted net income of EUR 487 million, close to the figures of last year, which was EUR 490 million. Free cash flow reached a record level of EUR 782 million compared to EUR 675 million last year. It's an increase of 16%. In surplus, the conversion rate of recurring EBITDA into cash was 87%, which is very satisfactory and a level well above the medium-term guidance of 80%. The group continued to invest in 2025 and even intensified with CapEx of EUR 172 million versus EUR 150 million in 2024, with the majority of its investment remaining devoted to information system developments. As a reminder, for the purpose of comparability between financial years, certain components of free cash flow linked to cutoff and nonrecurring effects are restated. These restatements mainly cover nonrecurring CapEx in group's business cycle, including in 2025, the additional equalization payment that we paid for an amount of EUR 97 million as well also as calendar effects impacting the variation in working capital, nothing different from what we did the previous years. Let's conclude this section with a few words about our financial situation. Taking into account other debts, total financial liabilities amounted to EUR 2.3 billion at the end of 2025. It's down EUR 200 million compared to the end of 2024, reflecting the debt repayments made this year. With available cash of nearly EUR 550 million, the net financial debt amounted to EUR 1.7 billion at the end of 2025, a reduction of nearly EUR 100 million compared to the end of 2024. This reduction is not exactly up to EUR 150 million that we have forecasted initially. This is explained by the slight lower recurring EBITDA compared to the situation beginning of the year and also by elements difficult to predict precisely, such as the winnings to be paid to players, which are at a lower level than expected at the end of 2025. They mainly depend on the jackpots 1 or not 1 and the fact that the players have claimed their prices end of December or beginning of January, you see that it's mostly a cutoff effect and not a structural one. The financial debt ratio, net financial debt on recurring EBITDA is at a level of 1.9x, stable compared to last year. And to really conclude and give back the floor to Stephane to talk about the outlook, a slide to maybe help you model 2026, taking all the key elements. We will have a split between fixed and variable cost in average that will be in the region of what we have seen in 2025. Second, the cumulative effects of the performance plan will amount to EUR 100 million. It means EUR 50 million in surplus compared to the EUR 50 million that we already did in 2026. Our business will be impacted by 900 additional calendar effects of new gaming taxes, including 2/3 on OBG and 1/3 in LSF. I would like to point out that the calendar effect is the additional effect of taxes. For example, in France, we only consider the additional taxes in H1 since H2 has been allocated from 2025. The cumulative impact of the new gaming taxes in 2026, if we compare it to the initial situation in 2024 on the NGR amounts to EUR 140 million and more than EUR 150 million impact on the EBITDA, considering also the new advertising tax, which is accounted for in the costs. The exceptional corporate tax on companies that generated yes, external corporate tax of the companies that generated more than EUR 1 billion in revenue in France having being renewed. I've already said that. We will once again get a sort of tax burden around EUR 27 million additional. The amortization of the PPA will be at the same order of magnitude as in 2025, i.e., a gross amount of EUR 200 million for a net amount of EUR 170 million net of deferred tax. CapEx will be in the region of EUR 160 million. It means that it will be on the lower end of the 4%, 5% revenue range that we have in our guidance. And finally, a reduction in the net financial debt is expected of around EUR 100 million. And now I can hand over really to Stephane, who will present our outlook.
Stephane Pallez: Thank you, Pascal. So I think it's important to understand, as Pascal has done the weight of taxes on our business, but it's also very important to look at the activity and the drivers of the activity because this is what says, where we go from now and how we can project ourselves. So to start with LSF, lottery and sports betting in the point of sales, I think we have some interesting drivers of activities. First, of course, is the acceleration on the basis of the success that we had this year in the banner point-of-sale rollout. As I said in my first part, we are able to open 500 new point of sales. We will aim this year to open 700. And again, this means new clients, new type of clients also because it's a very different type of network. So that's a great factor. We will, of course, continue to work on the efficiencies that we can get from the integrated sales force model now, now that we have completed this internalization. So this is also a lever for efficiency and good marketing drive of our network in 2026. We will also, as usual, in 2026, we will animate our commercial activity through numerous events and innovations, of course, coupled with initiatives to continue to develop cross-selling at point of sales. So in the lottery, we will benefit for a lot of -- from a year with a lot of events. We will use the celebration of the 50th anniversaries of Loto. We will have 3 Friday -- 13th Friday, which is, as you know, an occasion also to animate our games. We will offer on this occasion Super Loto and we'll continue to offer extra benefits on the game that we launched in 2025, EuroDreams -- well, since the last year, including '25, which are EuroDreams and Crescendo to continue to develop them in our draw games portfolio. For the instant game portfolio, we aim to launch at least one new game or one relaunch of a current game every month, such as the relaunch, of course, of iconic games like Cash, Numéro Fétiche. And we'll also continue to invest in the online lottery to recruit new players while ensuring responsible gaming with, again, our new tools. We also continue -- we will continue to develop our exclusive games portfolio. We also plan to have each month new games in our exclusive web portfolio to further develop our offer in the online lottery, including multiplayer game, Lagoon Clash that will be launched in June and which will be a real innovation. So again, lots of innovation in our gaming portfolio to sustain our growth this year and for the future. And of course, for the sports betting, it will be a year of World Cup. And therefore, we plan to use this event as we know how to use it to have good growth in the sports betting activity in our point of sale. So let's turn now to OBG. OBG will see in 2026, the acceleration of its transformation that we started in 2025 and further implementation of the operational performance plan that Pascal has described at financial level. It will be executed through a new management and organization under the leadership of Pascal, who has been very involved in the integration and successfully integration of Kindred and who will take a key strategic operational responsibility with the management of OBG, which shows the importance for the group of this transformation in our strategic road map. He will also continue to lead major transformation project at the group level. And I really want to thank him for his results and his commitment to this transformation that we want to make real in 2026 and further. We'll -- of course, since Pascal will move to this operational responsibility, we are in the process of hiring a new CFO in the very next weeks or months. And of course, you'll be informed of this move as soon as it is completed. So we have in nobility an intense operational agenda. Of course, in France, a very significant move, which is the shift of Parions Sport en Ligne under the Unibet brand. It's important in commercial terms. It's also important in terms of our capacity to, I would say, get more efficiency from our commercial spendings under one powerful brand, which will be Unibet starting in March. So it's a strong move that we have been planning to do, and that will be done again this March, but it's also important for the future of this business, successful business, again, in France. We will also expand further our automated marketing campaign, and we'll expand also further the optimization of our customer service, supported by artificial intelligence in all OBG business. And we will prepare as we have already started for the opening of the Finnish market, which is now scheduled for mid-2027 after the framework for regulation has been adopted. So we will -- we intend to benefit from continuous commercial and marketing initiatives such as the internalization of the 32Red brand follow the success that we had with the launch in Romania. We will -- we plan to launch it in other markets during the year. And we also will finalize our multi-license strategy in Sweden that we started this year. And of course, OBG will -- intend to use the World Cup also to drive major commercial and marketing initiatives to get back to growth and recruitment, of course, through recruitment of players during this 2026 year. So very active agenda. Looking forward, I also want to say a word about our other activities. Pascal has commented them in terms of results for this year. But I also want to comment them in terms of how they will contribute to our growth and performance in the years to come. So we have the intention, as we said during our Capital Market Day to look for further growth in our international lottery business beyond PLI, which is today a success in terms of integration and synergies within the group. We have set a strong team to prepare to seize opportunities, which might be tenders or acquisition as they arise around us. And again, to look to those opportunities in short term and medium term. So we are now ready, I think, to be in that capacity to do so. We also continue, and this is more, of course, for France to invest to create differentiating assets in payment and service to serve our group strategy in France and particularly to serve our clients in the network and our retailers. So we offer now to our clients local bill payment systems in almost half of our network and a payment card. And we have built also a solution which is dedicated to local businesses of course, our retailers, but not only with Nirio business. So second trend. And more broadly speaking, at the group level, we have been building in 2025, our team and road map for data and AI acceleration. We are convinced that all our activities are and will be profoundly transformed and strengthened by data and AI use. And we have started to roll this road map with 2 priorities. One is, of course, to use it to improve gaming experience, more personalization with our customers, more efficiency in responsible gaming, which is, again, completely integrated into our new tools and objective and which will be a key driver to achieve this efficiency. And we want also to use data and AI to achieve operational excellence into our customer service operations. And we have started to also get new partners to help us to do so, such as the partnership that we signed with a company to develop AI within FDJ United. So all this, of course, is not only short term, but I think it's worth noting that in this context, we invest for growth and efficiency for the future. So to look at the 2026 outlook, I want to give you a global view of how we see 2026 year, which, of course, as Pascal has already explained, does have to absorb calendar tax increase of a significant level. So our target is definitely to increase our gross gaming revenue, again, despite this level of tax. I think Pascal has been quite specific in terms of level and calendar. But again, you have to remember that for France, lottery and network sports betting, the calendar of the tax introduced in July 2025 is expected to be close to EUR 30 million. And it is close to EUR 60 million for OBG as a whole, given the taxes in different countries, including, of course, France, Romania, United Kingdom and the Netherlands. So by business unit, GGR growth is expected to be higher for OBG than for the French lottery and network sports betting BU. However, given the level of tax increase that we got on OBG, revenue growth for the 2 BUs should be fairly comparable. And also, I want to underline that given the timing of tax increase and the high basis comparison in the first half of 2025, the expected growth in GGR and revenue will be more pronounced in the second half of the year, where we will benefit from, again, having absorbed part of the taxes that have been announced earlier. So this will translate considering the ramp-up of our performance plan that Pascal has been described into a stable EBITDA margin, both at group level and for the 2 business units. We aim for stability, again, to compensate the adverse headwinds, but also to continue to invest to generate growth in our market. And for the future, this is why we have set ourselves this aim of stability of the EBITDA margin. This stability will put us in, of course, the right condition to continue to fulfill our promise in terms of dividend distribution, which is to increase year-on-year our dividend based on a payout ratio of more than 75% of adjusted net income, and we are completely confident in our capacity to fulfill this promise over the years to come. So looking beyond at the medium-term guidance, you remember that we presented our medium-term outlook in our Capital Market Day. However, at this time, we didn't -- we could not include the bad news that we received on the new taxes for U.K. and Romania, which are not decided and not known at this time. So in that context, we now expect to gradually accelerate our revenue growth over the period to reach the 5%, which is our medium-term ambition in 2028. Our other medium-term projection remain unchanged with a current EBITDA margin of over 26% in 2028, a conversion rate of current EBITDA to cash of over 80% as we showed this year, a CapEx level stable between 4% and 5% of revenue. And therefore, again, on this basis, capacity to fulfill our promise of annual dividend increase. I want also to mention that to achieve this, you have understood that we have major milestones that we have been working already this year and will continue to work over the next years, which is, of course, a performance plan on which we were able to continue to increase our perspective for recurrent efficiencies and of course, the building of our technology assets, particularly through proprietary sports betting platform that we will -- we aim to roll by the end of 2027. So to conclude before letting ask questions, of course, I want to reiterate our confidence, our trust and our commitment to fulfill our medium-term ambition on the basis of what we have already achieved today. Thank you very much. We are ready for your questions.
Hugo Paternoster: Hugo Paternoster from Kepler Cheuvreux. I will have 3 questions. The first one is on the tax impact and the EUR 90 million you mentioned for 2026. I understand this is not an annualized amount since U.K. will start to be implemented in midyear. Just wanted to have if you can have a breakdown by jurisdiction, potentially to isolate the U.K. one, what could remain to be expected for 2027? The second question is on your tech stack implementation. Just wonder what remains to be done by jurisdiction, by brand, especially ahead of the World Cup? And also in terms of IT cost services, what should we expect for this year? And the last one is on the M&A. I know you have a kind of a road map there. Your leverage is already below your target. So technically, you could already do some bolt-on. Just wanted to have an update on the bolt-on and potentially also an update on the U.S. I know that you have some view there for the lottery.
Stephane Pallez: So maybe, Pascal, you can start with the tax. And maybe tech stack or as you want.
Pascal Chaffard: Okay. I do both. On the tax impact, yes, to help you, the impact related to U.K. is around EUR 30 million in 2026. It will raise over EUR 40 million in 2027 as it will begin in the 1st of April. So there is an annual effect in 2027. And the tax will be raised in 2026 on the gaming, casino online part, and it will be raised in 2027 on the sports betting side. Happily in the U.K., our split between -- happily or not between the sports betting and online gaming -- online casino is 80%, 85% casino and 15-plus percent on sports betting. And in 2026, you will have also the annualization of the impact of the Romanian tax for an amount of something like EUR 8 million. And the rest is related to the annualization, the calendar effect of the impact of French tax that has been, I think, quite heavily commented in detail. Does it answer your question on the tax part? Tech stack. So I think it's interesting to -- yes, to draw all the picture. We have already a PAM that is internalized and live in all our jurisdictions. The remaining efforts to do and the PAM is player account management. It's very important because it is where you implement the KYC of the clients, you implement the CRM, you implement all the compliance and responsible measures to monitor the spend of the player. So it's a key asset that is already live everywhere. The only element that has to remain to be done is to move France on the Kindred PAM on the PAM that is running in the rest of the jurisdictions. This is the only remaining thing that we have. It's not urgent to do it. We will do it in the coming years. No problem. Second point, I will end by sports betting. Second point, on poker, we already have our full internalized tech stack with the poker of Relax. And when we will move in France all the activity under the Unibet brand by the end of March, we will also move the provider that we have on poker to Relax. So we will have in France full Relax, so internalized poker stack as on all the other jurisdictions. Then on casino. Casino is more than 50% of the global revenue of the OBG BU, and we have internalized the tech stack in the casino side. I do one precision that is very important. On the casino, what is important is to be able to connect thousands of games. Part of those games are totally internal, developed by Relax and part of those games are both from international actors like everyone is done -- is doing. It means that we have never envisaged to internalize thousands of games directly developed internally. It will be completely a nonsense. So what is important in casino is the ability to connect to an enormous portfolio of games, and this is what we have already done and the capacity to have specific games that are 100% ours to differentiate more from competitors. Last part is sports betting. Sports betting, we have currently a little bit less than 60% of our revenue that is totally internalized in France. In France, we are totally internalized with a platform that is internal and at a good level. And in the rest of the jurisdiction, we have implemented KSP in Romania, in the U.K., both brands, 32Red and Unibet and also in Estonia. The rest of the remaining countries to be moved to the internalized platform is mainly Netherlands, Denmark, Sweden, Belgium and Australia, but it's very, very small. Okay. So this answers your question.
Stephane Pallez: Okay. So M&A, as you rightly underlined, we are deleveraging at, I would say, a reasonable pace, and we are below 2. And so we will continue to deleverage at a reasonable pace, which gives us, obviously, financial capacity to do M&A. So I think the question for M&A is more an operational question on the -- particularly on the OBG side connected to what Pascal has just described, which is are there opportunities and capacity to do small M&A in the context of the tech migration that we want to pursue and complete in the best condition. So it is not our priority. Again, it's not a significant priority for OBG. I think we will continue to look at in a pragmatic way to what could be done if it's, again, consistent with our tech migration because we definitely want to continue to complete in the medium term our scope, but we would prefer, again, this year to concentrate -- to continue to concentrate on the tech stack migration even if it's already well advanced. And of course, there is no intention of doing anything during World Cup that's for sure. So M&A, I think, is more a question, as I said, M&A or tenders or investment is more a question related to lottery, international lottery business. We are already active in looking at opportunities also in, I would say, in a realistic way. And at this point, with small initiatives in terms of investment, which is probably what you referred to in the U.S. In the U.S., we believe we have opportunity to be present in the online lottery development, which is as we know, not as mature as the French or European market. So we have been competing in partnering with other actors in tenders or renewal of license that do include this online lottery development in which we consider to have good track record and experience. Apart from that, if I may, the U.S. market we're not at all in the sports betting U.S. market. And in a way, we are happy not to be because we see that this market is already quite, I would say, questioned about potential disruption from other type of activities. So we're not concerned by that. This is a positive. Okay. Other questions? So if no, if it's clear. Thank you very much.
Pascal Chaffard: Thank you.
Stephane Pallez: So we'll stop at this point. And of course, we'll be happy and ready to answer further questions if you have some. Thank you very much. Bye-bye.